Operator: Good day, ladies and gentlemen, and welcome to the Taseko Mines Fourth Quarter and Annual Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the conference over to Brian Bergot. Sir, you may begin.
Brian Bergot: Thank you, Ashley. And thank you everyone for joining us today to review Taseko's fourth quarter and full year 2017 financial results. My name is Brian Bergot, and I am the Vice President, Investor Relations, for Taseko. Our financial results were issued yesterday after market close and are available on our website at tasekomines.com. Before we begin, I'd like to introduce everyone on the call today. We have Russ Hallbauer, President and CEO of Taseko; John McManus, COO of Taseko; and Stuart McDonald, Taseko's Chief Financial Officer. After opening remarks by management, which will review the fourth quarter and annual business and operational results, we will open the phone lines to analysts and investors for a question-and-answer session. As usual, before we proceed, I would like to remind our listeners that our comments and answers to your questions may contain forward-looking information. This information, by its nature, is subject to risks and uncertainties that may cause the stated outcome to differ materially from the actual outcome. I encourage you to read the cautionary note that accompanies our fourth quarter and annual MD&A and the related results news release, as well as the risk factors particular to our company. I will now turn the call over to Russ for his remarks.
Russell Hallbauer: Thank you, Brian. Good morning, everyone. 2017 was an excellent financial year for Taseko as we generated $211 million worth of cash flow from operations and $164 million of EBITDA for the year. While our financial performance was excellent, we had some trying times on the operational side and I'd just like to say our operational folks, led by our COO, John McManus, and our General Manager at site did an outstanding job, keeping the mine running and cost under control during the fire disaster. And we maintain our total cost per ton milled in the $10 range including capital strip over the course of the year. As a result of the undertakings we took to maintain copper production in Q3 and Q4, there are number of accounting items that affected our earnings and Stuart will speak to those once we get to the financial section. In my Q3 commentary, I indicated we are working through our 2018 budget and attempting to determine the impact of drastically moving off our mine plan for the seven weeks that the wildfires impacted Gibraltar. Those impacts were dramatic in Q4 in terms of metal production and continued into Q1 of this year as operations work to get our mines' stripping sequences back into shape. We expect this quarter's metal production to be similar to Q4's, but we will move back up to normalized production over the next few months. The financial effect of lower production we believe will be somewhat offset by the outlook for higher copper prices in the months ahead, particularly during the strong pricing season. That is why as shareholders we have to think having a plus 20-year mine life in front of us is critical when these unforeseen bumps present themselves on the mining business. With respect to Gibraltar we're investigating and doing some preliminary engineering work on increasing the throughput of one of our concentrators. We think it is important continuing to look at all opportunities to increase our copper production. And as we have seen in the past, brownfield increases are accretive to NPV and create very good rates of return. And with our ore body as large as it is and mine-life so long, Gibraltar - at Gibraltar we would be amiss if we didn't evaluate the opportunities. Gibraltar is business as usual. And right now our teams are intensively focused on unlocking the value of our Florence asset. The Florence test wellfield is nearly complete and the SX/EW plant is being constructed. We are on time and on budget. And as I said before, I'm not sure the general market really appreciates the intrinsic value of our Florence asset. When producing it will be one of the lowest copper production assets in the world in terms of having one of the lowest all-in sustaining cost of production at roughly US$1.30 per pound. Combine this with one of the lowest capital intensity metrics of copper capacity at US$5,500 per ton, it is rivaled only by Mr. Friedland's Kamoa-Kakula project in the DRC of US$7,000 per ton. NPV 8% initial CapEx is 4 times that versus 3.4% for Kamoa. But one factor is missing and that is the Florence is in the United States, not in the DRC. The development of Florence is going to have a fundamental and resounding effect on the future of this company. Most projects would be happy to have a 2 times MPV versus CapEx metric. Florence is 5. A particular note, our technical report of February 2017 indicated a post-tax NPV of US$680 million at a 7.5% discount. The new corporate tax rate that are just been recently announced in the U.S. will increase the NPV by roughly US$100 million - US$100 million to US$120 million to over US$800 million, equating to over $1 billion Canadian. And that would prescribe a value of just under $4 per share of Taseko shareholders. While Gibraltar has been our cornerstone company building asset, Florence will be our near-term future. If we look back over the past year, we had significant accomplishments on the financial side, and Stuart will also speak about it in detail. But from my perspective, our management team has always focused as the head - our long-term focused outlook on increasing shareholder value by ensuring we are measured and meticulous in moving the company forward. Folks might not remember this, but we have not raised equity in nine years. We use the resources available as to move the company forward, not at the expense of shareholders, but with shareholders always on our mind. If we look back, we sold a percentage of our assets like the 25% Gibraltar when the time was ready. Similarly, we did the same thing in the most recent silver stream sale. We've opportunistically tapped the debt markets while paying down debt. We slowly and purposely worked to increase shareholder value, which in this business is a long process. And I believe with Gibraltar continuing to generate significant cash flows, as we begin the next cycle, the company is in an ideal position to capitalize on the value, which will be created by Florence and other assets in the coming months. I'd like to now turn the call over to Stuart.
Stuart McDonald: Okay. Thanks and good morning, everyone. We're pleased to report Taseko's annual and fourth quarter results yesterday. As Russ noted, it's been a very successful year for the company. Adjusted EBITDA of $162 million, and GAAP net income of $34 million for the year. Over the year, we saw strengthening copper prices, higher metal production and lower unit costs. This resulted in operating cash flows of $211 million, including the proceeds of the silver stream in March. We applied some of that cash to complete our refinancing in June, which reduced our long-term debt, while also extending the maturity data from 2019 to 2022. So it was a good year from a financial standpoint, although, the fourth quarter results did not match what we achieved in the first three quarters. The increased use of lower grade ore stockpiles stemming from the wildfires in July resulted in lower copper production and sales in Q4. And the drawdown of the ore stockpile inventory resulted in a non-cash inventory expense and additional depreciation, which reduced earnings by $10.6 million or $0.05 per share. So overall fourth quarter earnings from mine operations before depreciation were $33 million, and adjusted EBITDA was $29 million, which is lower than the average quarterly EBITDA of $44 million that we achieved in the first three quarters. Copper sales volumes were 32 million pounds, which was higher than mine production of 25.5 million, as we were successful and reducing our concentrate inventory levels. Our realized copper sales price was $3.30 per pound, which was higher than the LME average price of $3.09, because of provisional pricing adjustments at quarter-end. And moly prices also continue to strengthen recently going over $12 per pound. This is an important byproduct for Gibraltar, representing a credit $0.17 per pound produced for the quarter. Overall, gross revenues for the quarter were $103 million based on our 75% share of Gibraltar volumes. On the cost side, our total site spending continues to be fairly consistent, but our operating costs per pound increased because of lower copper production, coming in at US$2.11 per pound. We also capitalized $17 million of mining cost in the fourth quarter related to stripping activity, new section of the Granite pit. Other significant items on the fourth quarter P&L include a $3.8 million write-down of an investment, a $2 million foreign exchange loss on U.S. dollar denominated debt, and $1.6 million derivative loss due to increasing copper prices. The GAAP net loss for the fourth quarter was $7.6 million or $0.03 per share. The adjusted net loss was $1.5 million or $0.01 per share, and excludes the unrealized FX, the write-down of the investment and unrealized derivative losses. Looking at fourth quarter cash flows, we generated $32 million of positive cash flow from operating activities. This was offset by capital expenditures of $28 million, which include capitalized stripping costs of $17 million, other sustaining capital of $3.5 million at Gibraltar, and $5 million of construction costs at Florence, which primarily relates to wellfield development. In December, we also made the first interest payment on our senior secured notes in the amount of $14 million, and we made $4 million of capital lease payments in the fourth quarter as well. We ended the year with $80 million of cash on the balance sheet, down from $95 million at the end of Q3, and the current metal price, as we expect to grow our cash balance over the course of 2018, although, Florence project spending is weighted towards first part of the year, so we may see a temporary decline in our cash balance in the next few months. We're also working on an insurance claim related to the business interruption that we experienced during December wildfires. And while the amount isn't finalized yet, we expect the claim could be in the range of $3 million to $10 million. And with that, I'll turn it back to Russ.
Russell Hallbauer: Thank you, Stuart. Operator, I'd like to open the line to calls, please.
Operator: Thank you. [Operator Instructions] Our first question comes from Orest Wowkodaw of Scotiabank. Your line is open.
Orest Wowkodaw: Hi, good morning, guys. I was hoping you could give us some more color on the impact here of the wildfires. I'm having trouble understanding how - I think you stated earlier that there was about a 7 week impact from the wildfires back in July. And I guess, where I'm struggling is how does that result in almost 6 months of low-grade processing at the mill. We think of what you did in Q4 and what you're guiding to in Q1 in terms of silver grades.
Russell Hallbauer: I'll let John to guide it.
John McManus: To solve that.
Russell Hallbauer: Answer that question, Orest. But, yeah, it's a complex scenario and it has to do with the development of our pushback, the sequencing, but I'll let John to speak to it.
John McManus: Hi, Orest. Excuse my voice here. I'm coming off of bad cold. Yeah, I'll try not to make it too complicated, but really we didn't have the manpower to run the mine to plan for 7 weeks. And so, what we did was we got the best ore we could and took it to the mill. Then when we do get back up to manpower, you only have the equipment and manpower that you need to run the mine at planned rates. So it takes a long time to catch back up what we lost in those 7 weeks that we didn't. That's coupled with a couple of other things that didn't help, which are more normal. We had some equipment availability problems. Due to wall movement we lost some of the higher we're going to be able to get into. But firing away, the biggest factor was this loss of 7 weeks of being able to follow the mine plan.
Russell Hallbauer: So if we stayed - effectively been able to stay in the bottom of the pit and keep stripping down there, and moving with and accessing the higher grade, material that usually comes at the backend of these pushbacks at the bottom end. We had to move - John had to move up top, start to push back. In normal circumstances you would be sequencing that. You would be into the poor grade ore that's coming out that's oxidized. There is a bunch of different metallurgy with that stuff from the bottom of the pit. But because we had to just go into this pushback, and try and keep stripping, because we couldn't have access to the bottom of the pit, it just - it culminates itself. So I guess, similar situation would be like what happened to us back in - when we had the big wall failure back. And what year was that, 2014, 2015, when we get pushed right off our mine-plan?
John McManus: Yeah, we got pushed right off the mine plan. That was combined with some real big equipment available - problems which we don't have now. We had some smaller problems. The other thing that doesn't show up in these very well is the effect on the recovery of the oxidized material, which comes out of the stockpiles. We had a good understanding of the grade that would come. But there is so much oxidation that really affected our recovery since that was way down, both in copper and moly. So, it's always a compilation of all these things. And it takes a while to get out of it. So we're pretty much out of it now. But Q1 is already been affected, so. But the rest of 2018 should be good.
Orest Wowkodaw: Okay. And when we think about cost for 2018, if we just look at your cost per ton all-in, including capitalized stripping, they were close $11 ton Canadian, I believe in 2017. Should we expect that to stay roughly flat in 2018 or you - should we anticipate some cost right now that things like fuel, and we're seeing more inflation in the industry?
Russell Hallbauer: I think you run number between $10 and $11 a ton will be pretty good, Orest. I mean, yeah, you are correct, there are some - there are some extenuating circumstances that, you know what, changes the taxation basis, employee wage increases, other things. But we're pretty comfortable between. You'll see it - you've seen it fluctuate from like $10.25 up to $10.75 quarter-over-quarter. So, yeah, I guess - use $10.50, is a good average?
Stuart McDonald: $10.50 is a good number, yeah, and I mean if you take a look at Q4, that was right in the range for the dollars per ton milled when you include copper stripping too. So that's what we been at for 2.5 years, 2.5, 3 years now. And so, even though we've added some more trucks last year, we still maintain that overall cost per ton milled.
Orest Wowkodaw: Okay. And then, final question for me, excluding kind of capitalized stripping, just how much should we anticipate sustaining capital this year at Gibraltar and then growth spending at Florence for this year?
Stuart McDonald: We run at about $0.12 to $0.15 per ton mined so, $10 million to $15 million this year on general sustaining. That includes some capitalized range maintenance projects.
Russell Hallbauer: That's what we made budget, but remember, everything is ought to be justified on a return.
John McManus: Yeah.
Russell Hallbauer: You just - so we estimate and we've been very consistent over the years or as we've said, somewhere between $0.10 and $0.12 per total ton milled. And or mines - and then we just - and then the operations guys, if they need a new dozer, if they need a new - whatever they have to justify on rate of return payback justification. But it's pretty minimal.
John McManus: There is nothing major, we've got a new fleet. We have done all the upgrades in the mill. So there is - it's truly sustaining capital that we're looking at that.
Orest Wowkodaw: Okay. And then for Florence? What's remaining?
Stuart McDonald: Well, Florence, the budget that we started off in the fall was US$25 million, which took us through the end of 2018. And in Q4, we spend above, I think, $5.5 million. So we're…
John McManus: US$20 million to go.
Stuart McDonald: No, the differential around US$20 million as a spend for 2018.
John McManus: Most of that comes in the first half, almost all that comes in the first half of the year.
Orest Wowkodaw: Thank you.
Russell Hallbauer: You bet.
Operator: Our next question comes from Craig Hutchison of TD Securities. Your line is open.
Craig Hutchison: Hi, guys. Maybe it's a following question to Orest, talking with the strip ratios. What was sort of the intended strip ratio, so you wanted to have in sort of the latter half of 2017? And what sort of the plan in terms of strip ratios looking out into the 2018?
John McManus: Well, the strip ratio varies at Gibraltar based on haul distance for waste and ore. So we've only got so much equipment, when we're deep in the pit. The strip ratio goes down, because you just can't move as much material, but we keep moving the same amount of ore to the mill. So at the end of 2017, the second half of 2017, the strip ratio was planned to be low, because we are deep in the pit. Now, we are higher in the pit, strip ratio will be higher, but that gets handled with Stuart's capital stripping calculation, so it evens out the cost at the end of the day. That's one of the reasons, that we maintain the same cost per ton milled, because we've got the certain amount of mining equipment, and we run it all the time, so our expenditures doesn't change as a strip ratio goes up and down.
Russell Hallbauer: The one thing, we may look at is seeing the effect of strip has price of copper is going up. We will look at being, if we can move the cutoff rate and strip ratio up, and if we can produce more pounds going forward. So we are always engineering and trying to figure out, and how we extract the greatest amount of value out of the Gibraltar ore-body. Before we lower the cutoff to 0.16, we cut the strip ratio down to 2 to 1. And we may very well take it up to 3 to 1, because the price copper is going up and you generate more cash.
John McManus: And our mining cost is going down at the same time. So it - you move around within those parameter.
Craig Hutchison: And just in terms of the total tons of mine that you guys can deliver in a quarter, I think, in Q4 sort of 27 million tons, which is I think close to - closer record for you guys. So that's sort of the upper limit of what you guys can do on that basis?
John McManus: Yeah, probably, I mean, we ended up with some - we bought in some new trucks in the second half of 2017, and we are up at the top of the mine. So yeah, that's with the gear, we've got this probably as much as we can do. We go deeper it would be a lower number.
Craig Hutchison: So do you expect to see any stockpile material sort of post Q1 of this year into the mills the remainder of the year?
John McManus: Yeah. Those are live stockpiles, I mean, we blend out the stockpile into all such things out of stockpile, but it's not going to be the high proportion that it was in Q4 and Q1. And it is not old stockpiles, I mean, some of the stuff that we're feeding the mill is now got put their in 2011.
Russell Hallbauer: Yeah. So - we mean, Craig, if you've got a big weight or a block in front of you. You're not going to display higher grade ore with lower grade ore. So you just make it - the guys will make the decision - will make a decision, let's say, hey, we're going to put that point to stuff in the stockpile and use it later in the mine plant, and move that parent head grade, that is going to the mills at 0.29 or 0.3 or whatever it is. So we managed our stockpiles like John said are live and they are part of the mining sequence.
Craig Hutchison: Okay. Thanks, guys.
John McManus: Yeah. I mean, even though, the results, because we're in stockpile, we're not as good as pressured, but sure a lot better than not having a stockpile.
Craig Hutchison: Okay.
Russell Hallbauer: And the stockpile - it's changed a bit in the last how many years with efforts on how you account for a stockpile?
John McManus: Yes.
Russell Hallbauer: It affects earnings, does it?
Stuart McDonald: Yeah, I mean, we had a big - we had a fairly big earnings impact in Q4 from the drawdown of the stockpile. I mean, this is money, as John said, this is a money that was spent several years ago to put the ore there for accounting to capitalize that. And then in Q4, when we drew account we can take that is kind of a non-cash item through your earnings…
John McManus: It seems like $10 million.
Stuart McDonald: $10 million, yeah.
Craig Hutchison: Okay. Thanks, guys.
John McManus: Thanks, Craig.
Operator: Our next question comes from Alex Terentiew of BMO Capital Markets. Your line is now open.
Russell Hallbauer: Are you there Alex?
John McManus: We must have lost them.
Russell Hallbauer: Hello, operator?
Operator: Our next question comes from Don DeMarco of National Bank. Your line is open.
Don DeMarco: Thank you. Hi, guys. When do you expect to be above sort of annual run rate of 35 million pounds copper production? Are you there now or maybe by the end of Q1 or maybe not until sometime into Q2?
John McManus: On a quarterly basis, yes, it's going to be in Q2.
Russell Hallbauer: Q2. Yeah, we'll be back to that range.
Don DeMarco: Got it. Q2, okay. And is there any - are there any steps you guys can take to mitigate the impact of forest fires in the future? I mean, I don't know quite frankly, have all the trees in the areas been burned already or is it - or is there other stockpile strategies are? Would you expect to repeat it as possibly next year or the year after?
John McManus: Well Gibraltar has been running for what 50 years now, and this is the first time we've had this specific issue. So if it happens once every 50 years, we're probably not going to do a lot to try to mitigate the issue. It's not something that's expected. It was a disaster, I mean, the interior British Columbia was evacuated this year, but that doesn't happen every year. I know the forest hasn't burnt completely to help it. There is a lot of damage [indiscernible] live in a forest.
Don DeMarco: Okay, great. That's all for me.
Russell Hallbauer: There was a little bit more of action after that, then there was floods after that. After we get through the forest fires, the transportation quarters both the road and the railway were shut down for how long? Two weeks, John, or?
John McManus: Yes, about two weeks, you couldn't get to Vancouver at all. It's one of the reasons our offsite costs were high, we had to ship to trucking to help, rail to move the concentrate to the port, because you just - we went right from fires to flood over a period of about two weeks.
Russell Hallbauer: And then you couldn't get down the Fraser Canyon, so we have to take all the material over and down to Kakula by truck, it was quite a performance. Like I said, it didn't - we did more than yeoman's job to keep things going in the quarter, which - last half of the year, it's pretty good really.
John McManus: And we don't expect to repeat of that anytime soon either.
Don DeMarco: Okay. Thanks, guys.
John McManus: Okay, Don.
Operator: Our next question comes from Alex Terentiew of BMO Capital Markets. Your line is now open.
Alex Terentiew: Hi, guys. Sorry about that. Question on Florence. I have a couple of questions. First one on Florence. The production test facility is underway now are constructing of it. What sort of permanent activities can you do there in 2018 to prepare it for full-scale operation? Or do you really need to kind of wait until 2019, you've got an actual operations and some results from that before you can take it to the next level? Just trying to kind of ascertain how quickly we can move this forward to full scale?
John McManus: Hi, Alex. This is John, here. Yeah, the - really the main permit that's still required to go for the production facility, I mean, we've been really through most of the hooves already for the test facility. For the production facility, we need to get a permanent aquifer for protection permit, right now, we just have the temporary. And our guys down there are all over that, now we're working that's issued by the State of Arizona. The Arizona Department of Environmental Quality and we're working with them on a regular basis to get us much of that permit prepared as possible. And then what we've learned from the test facility, we fill in the blanks basically on the - that's a strategy on the permanent aquifer protection permit, so now we're all over that. So the goal is to get the production facility up on time and on budget, having the test facility up on timing and on budget is part of that.
Alex Terentiew: Okay. And then I guess you need to wrap this thing run for - what do you think one, two, three quarters or what sort of timeline before you could get that full permit and then...
Russell Hallbauer: John and I were talking about this. It's funny you mentioned it. We were talking about the strategy around all this, Alex, we're still on holding, because, obviously, as you are recognizing that the quicker we can do this the better we're going - often going to be. So we're trying to figure out all the nuances and how to move this - what we do in terms of wellfield new development. Can we start the main SX/EW plant a little earlier than we thought? So we're trying to refine this whole critical timeline, because six months or three months or two months, it's going to be pretty important in terms of the total undertaking of this project in terms of when it's going to be up and operating at capacity. So those are all things that we might be able to give you some more look through in the next - at the next call, right, John?
John McManus: Yeah, I mean, right now, we need to run the test facility for a year. And so if we get it up and running, injecting Q3 of this year, then we should be pretty much finished with the injections part of the test by the same time following year. As you do that, you learn things. And the big question with this permitting is our ability to control hydraulically the fluids. As far as permitting goes that's the big test. As far as economically, we want to make sure it works and it makes copper. But we are very confident in our ability to control the hydraulics in the wellfield. So we proved that we should be able to move forward with the permitting and have that hurdle behind us. I don't know if that helps or makes it worse.
Russell Hallbauer: Well, and as John is saying, as we are seeing how these fluids react in the aquifer and all the hydrologies and we'll be talking to the regulators. It's not like you start today on day-one and you don't do anything until day 365. There is all this evolution of the understanding of the actions of these various engineering parameters.
John McManus: This is a test. And all of the regulators will be watching carefully and closely as we move along. I think it's going to make permitting for the production facility reasonably smooth. It should be.
Alex Terentiew: Okay. That makes a lot of sense. Just a couple of questions, I guess, just on Gibraltar if I may. First one on moly, I know you guys - it's lower grades and you talked about the grade impact in Q4, Q1. And you give some copper grade guidance for the year. But with moly grades, I mean, moly prices are high now with 12 bucks or so a pound. Should we expect moly grade to be in line with reserve grade or is there a deviation from that?
John McManus: Oh, yeah, the moly grade is in line with reserve grade.
Russell Hallbauer: It's 0.09.
John McManus: It's 0.09.
Russell Hallbauer: Yeah.
John McManus: In Q4 it wasn't because of what we pulled out of the stockpiles. In Q4 the moly grade is like 0.05. So that's why we didn't have very good production in Q4, Q3. We didn't have very good moly production, because we didn't run the plant for six months. We didn't have enough people to run it. So we're actually - the moly plant is running very well this quarter. We're getting good recovery of better grade than we expect to see that through the rest of the year. So our moly production for 2018 should be - yeah, 2.5 to 3 million pounds. So at 12 bucks a pound that's we're doing.
Alex Terentiew: Yeah, it now makes sense. Last question, you mentioned earlier in the call, at the beginning, I think I heard you correctly, Russ, about just looking at opportunities to expand Gibraltar. I know the mind has already gone through, I believe, at least two phases of expansion. I understand it's very early stages here, but maybe just run us through, for me, I mean if you can, what sort of process that were you guys involved and what sort of timeline or thoughts you're thinking about for that?
Russell Hallbauer: Well, again, that's a little open-ended, because it's not the super-duper focus of us. I think we've got some different ideas. When we originally the finished the last, we added the second concentrator. We did design it so that it could be another bolt-on for another ball mill. Now, when we're looking at it, we don't - we think because of some of the issues we have with mill 1, because it was an old rod ball mill concentrator that we attached the sag mill to that may be instant. We got six now ball mills in there. It might be better to put another mill in the front end of those ball mills and do that, that scenario. But that would involve little bit more engineering work and conveyor belt designs and a few things like that. So we're throwing ideas and balls in the air, what could we add for capacity, John, another 10,000 to 15,000 tons a day maybe, and…
John McManus: Yeah, I mean, there is a number of different ways to expand the capacity of the mill and it's basically picking the best one that gives you the most bang for the buck. But there is also - do we take that capital and put it back into the pit and raise our strip ratio and our cutoff grade. I mean, that's a better way to expand the capacity or the production from Gibraltar. So we're weighing all these different options right now. It's a big deposit. Like Russ says, it cries for expansion.
Alex Terentiew: Okay. That's perfect. Thanks, guys.
Operator: Our next question comes from CJ Baldoni of ‎Principal Global Investors. Your line is open.
Russell Hallbauer: Hello, CJ.
CJ Baldoni: Sorry about that. Hi. I think you may have touched on this when you were talking about having to switch from rail to truck. Is that the reason for the step-up in the off property cost into low-40s?
John McManus: It's part of it, but it's also because we sold more than we produced and [offer roughly constant] [ph] based on sales rather than production. So unit cost gets kind of skewed by that.
CJ Baldoni: Okay. And is that expected to kind of come back down to the range that it has been in for a while?
Stuart McDonald: Yeah, yeah, CJ. It's Stuart here. Low-30s is kind of a reasonable number to expect going forward. And when we sell the same quantity that we produce in a quarter, that's the type of number that you'll see going forward.
CJ Baldoni: Okay, right. And I know it's early, but similar to the last question, with respect to the Florence project you said that you expect to build cash in advance of that, assuming that it moves forward? Could you talk about what you're thinking with respect to funding for the project? Would you bring in a partner? You mentioned typically you raise equity. Could you just talk a little bit about that?
Stuart McDonald: Yeah, CJ, as I mentioned in my comments we are going to build cash this year. So we will get out into 2019 and with the time when we have a PTF test facility that is running properly and that's permitted that we think this is going to be very - the economics of this project are very attractive and are going to be easy to attract…
Russell Hallbauer: Conventional debt.
Stuart McDonald: …some conventional debt financing or a partner. But I think adding on good piece of debt will help us finance this and it should be very achievable for us next year.
CJ Baldoni: Okay. And…
Stuart McDonald: But it's not really - it's a bit early. We got time and it's more of a 2019 activity.
CJ Baldoni: Okay. All right, I guess, we'll follow up on that later. And then, just lastly, so is your workforce now kind of fully back in place or are there lingering aspects, so the people have been displaced or has that been all like worked through now?
Russell Hallbauer: No, we got - everybody was back by the end of August. It's just we have a finite amount of equipment so it takes a while. If you're 10% behind, you can only catch up 1% a month. It takes a lot to catch it all up. That's all.
CJ Baldoni: Okay. All right, thank you very much.
Russell Hallbauer: Thanks.
Operator: And I'm showing no further questions at this time. I'd like to turn the call back Taseko for any closing remarks.
Russell Hallbauer: Okay. Thanks very much, everyone, and look forward to speaking to you next quarter. And hopefully you were looking at a $4 copper price by then. Cheers.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone, have a great day.